Operator: Ladies and gentlemen, thank you for standing by and welcome to Ashland's First Quarter Fiscal 2021 Earnings Conference Call. At this time all participants lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker, Seth Mrozek, Director of Investor Relations. Please go ahead, sir.
Seth Mrozek: Thank you, Phyllis. Good morning everyone and welcome to Ashland's first quarter fiscal year 2021 earnings conference call and webcast. My name is Seth Mrozek, Director, Ashland Investor Relations. Joining me on the call today are Guillermo Novo, Ashland's Chairman and Chief Executive Officer and Kevin Willis, Senior Vice President and Chief Financial Officer. We released preliminary results for the quarter ended December 31, 2020 at approximately 5:00 PM Eastern Time yesterday February 3rd. This news release issued last night was furnished to the SEC in a Form 8-K. During this morning's call, we will reference slides that are currently being webcast on our website Ashland.com under the Investor Relations section. The slides can also be found on the Investor Relations section of our website. We encourage you to follow along during the webcast, during the call. Please turn to slide two. As a reminder, during today's call, we will be making forward-looking statements on several matters including our outlook for fiscal year 2021. These forward-looking statements are subject to risks and uncertainties that could cause future results or events to differ materially from today's projections. We believe any such statements are based on reasonable assumptions, but cannot assure that such expectations will be achieved. Please refer to slide two of the presentation for a more complete explanation of those risks and uncertainties and the limits applicable to forward-looking statements. Please also note, that we will be referring to certain actual and projected financial metrics of Ashland on an adjusted basis, which are non-GAAP financial measures. We will refer to these measures as adjusted and present them in order to supplement your understanding and assessment of the financial performance of our ongoing business. Non-GAAP measures should not be considered a substitute for or superior to financial measures calculated in accordance with GAAP. The most directly comparable GAAP measures as well as reconciliations of the non-GAAP measures to those GAAP measures, are available on our website and in the appendix of today's slide presentation. Please turn to slide three. Guillermo will begin the call this morning with an overview of Ashland's results in the first fiscal quarter. Next, Kevin will provide a more detailed review of financial results for the quarter. Finally, Guillermo will close with key priorities and planning in the current economic environment in addition to providing his thoughts on important next steps. We will then open the line for questions.
Guillermo Novo: Thank you, Seth, and good morning to everyone. Before I begin, I'd like to thank you for your participation this morning. First and foremost, this quarter's results demonstrates the overall business conditions are improving and we are successfully executing our strategy. We continue to operate safely with a clear focus on the safety and well-being of all our employees as we manage through this difficult pandemic. As we execute our strategy, our business priorities remain unchanged demonstrating organic growth, expanding margins and improving free cash flow. During the quarter, our team successfully delivered on each of these priorities. Ashland's sales grew 4%, inclusive of favorable currency. Most of the consumer end markets continue to demonstrate resilient demand with life science delivering strong growth during the quarter. However, the global pandemic is still impacting some businesses linked to consumer behaviors. We have not seen demand improve in Hair Styling, Sun Care and other businesses linked to grooming activities impacted by changes in social and recreational dynamics. We also began the process of exiting lower margin product lines we commented on the last call. We saw continued recovery of industrial demand as well as reduced seasonality. This demand improvement was broad based across multiple end markets and our industrial businesses executed well during the quarter. Consistent with our strategy higher volumes, improved mix, lower SARD and lower operating expenses led to growth in EBITDA and EBITDA margins. Our focus on earnings growth and disciplined working capital control delivered significant growth and free cash flow. Lastly, in line with our goal of leveraging bolt-on M&A opportunities to support our strategy, we announced the agreement to acquire Shulke & Mayr's Personal Care preservative business. I'm very pleased with the progress made by the Ashland team to deliver improving momentum in what continues to be an uncertain global marketplace. I will discuss how this improved momentum impacts our outlook for fiscal year 21 following Kevin's review of the Q1 results. Kevin?
Kevin Willis: Thank you, Guillermo and good morning everyone. Please turn to slide seven. Total Ashland sales in the quarter were $552 million, up 4% versus prior year. These results reflect continued resilience in our consumer businesses and strong improvement in our Industrial businesses. Favorable currency contributed 2% to growth during the quarter.
Guillermo Novo: Thank you, Kevin. Please turn to slide 13. With the first quarter of fiscal year '21 complete, our priorities remain very clear. Drive margin expansion and enhanced free cash flow conversion continue to demonstrate business and operating resilience and accelerate profitable growth. To achieve these objectives, we have clear levers that we plan to act on with the same discipline we showed in 2020. Finalized and capitalize on the $50 million SARD cost savings commitment most of which was completed in 2020 and accelerate the implementation and capture of the $50 million in COGS reductions we have identified.
Operator:  our first question comes from the line of John Roberts with UBS.
John Roberts: Guillermo, last quarter you talked about pivoting to growth and it looks like you've done a good acquisition here. Could you talk a little bit about the fitness synergies, customer overlap and product overlap. And do you have anything else in the pipeline.
Guillermo Novo: So, thanks, John. So your question is very, very critical to us. This acquisition just is a perfect fit into our strategy focusing on additives and more specifically on the consumer side of our portfolio, Schulke & Mayr, and I have known them for many years, from my history even Rohm and Haas. They were a big customer. They have a very strong position in Personal Care added preservatives. They've shifted their portfolio to more, what you would call,  biocides to more friendly, a lot of this clean beauty . So, it really enhances the portfolio that we have more towards the ESG driven drivers. So it's going to be a very good fit for us. Between their business and ours, we'll have a pretty significant position in the market. This will become probably one of the larger segments within our Personal Care portfolio. So it's a really nice acquisition. We see synergies in the manufacturing. We'll be moving some of the manufacturing into our own sites. They have a very strong team. We want to keep that team. They're going to be a central part of the activities here. They have a very good, not just experienced but proven track record. So, we're going to be keeping the team in Hamburg and enhancing those capabilities. I think what we can bring is global scale, leveraging our labs around the world to support the business. We have a lot of things in the pipeline that we're working on new actives, new products we want to bring in and I think they'll be able to help us accelerate the commercialization, developing new formulations. And I'll say they have a very strong reputation with customers. So that's all very positive for us.
John Roberts: I guess I had forgotten you had experience with the  business of Rohm and Haas that's now part of DuPont and now a new IFF, I guess.
Guillermo Novo: Yes, well. Finally, this is a business I've always liked, so, finally .
John Roberts: And then, secondly Avoca sales actually had turned up last quarter because you had anniversaried I think the beginning of the decline that they had. it sounds like you've had a relapse there at least your comments about challenging. Maybe you could elaborate a little bit more on that.
Guillermo Novo: Yes, I think the big message we have, I wouldn't say so much of relapse is I mean it's the continuation. We're working through the issues. When we talk about Avoca, we have different product lines. The challenge from the legacy side was the  business that was the fragrance carrier business while we had one of our customers develop an alternative technology and that sort of disrupted the market and we communicate that when I came into Ashland that was, that was already going on. So, the business is stabilizing. We're not seeing - the improvement level was a little bit slower than we expected, but it's getting stable. The issue that - the focus that we have is developing new business using the capabilities that Avoca has. This is more biotech capability extraction, fermentation, purification to develop new applications and that's coming. So, we're doing a lot of purification development of new products for other companies and we're getting the business, but the scale-up has been a little bit longer, so it's just more of a ramp-up time. As we said before, it has been an issue, but the Avoca side of it, we see a path forward. And it's just about executing and we've had just some timing issues, but I'm confident that we'll overcome. I would say the other message I would say is look there hasn't really been much of a change of view here, just the commentary on the markets in the Personal Care. Obviously, I would expect a lot of the questions on the growth there and it's really just the market hasn't changed that much. The COVID is impacting. So the strong segments remains strong. The softer segments haven't recovered. People aren't going to salons, cut hair, styling, going out, socializing. So it's more about that consumer habit. So it's about when the recovery will happen and we'll be ready when that happens. The other question you had. Do we have more in the pipeline in our M&A and as I said in the last call, we're making that a priority and we are working, we do see the opportunity for bolt-on M&A opportunities as we move forward.
John Roberts: Great, thank you.
Operator: Your next question comes from the line of Chris Parkinson with Credit Suisse.
Chris Parkinson: Great, thank you. Just kind of a corollary what you're just discussing. Just within the PC portfolio you're clearly making a concerted effort to putting the portfolio away from some lower margin businesses. You've also made the strides you're just discussing in terms of avenues into additional natural ingredients, the acquisition in addition to your legacy platform Zeta Fraction etcetera. As it stands today, when you think about your current and future positioning in core skin and hair care, how should we be thinking about the actual normalized growth algorithm and also just the ESG components which appear to be becoming all the more incremental to your growth trajectory. Thank you.
Guillermo Novo: Right. Yes, so a great question. I think if you look at the Personal Care space again, the growth dynamics, we're going to have to look at the core market demand growth and obviously the recovery from COVID will impact that. And then what are the actions that we're taking so that we can ride that growth better. I would say on the demand side, skin continues to be very strong for us. Hair care, I think is the one that's been impacted on just consumer behaviors. So that we'll wait to see just a broader based recovery, I think what is driving everything in this space is about ESG and the portfolio of technologies. So the work we're doing, our approach has been look, let's use our first two years, 2020 and 2021 to get our house in order, to do all the self-help actions, we can deliver significant EBITDA growth, improve the profitability of the business, change our strategy, change our innovation portfolio and use this time. The growth drivers for the future are going to be innovation and some of these bolt-on activities that we want to do. On the innovation front, they both take time to do. So, we want to use these first two years to really reposition so that as we come out of this, we're going to have a better portfolio of new technologies. So what are the things that we're doing in the innovation side Is obviously expanding our natural based products or naturally-derived products. We have a lot of capabilities and hopefully with some of these bolt-ons we can bring it more. Biodegradability is going to be a big area. So in a lot of our areas, we already have a pretty strong portfolio there given the nature of cellulosics and other parts of our portfolio, but we're putting a lot more emphasis there. So as we end this year what we hope is that we can start rolling out commercialization of a much stronger portfolio. And some of that will happen. We're doing that this year itself, but I think a lot of the revenue impact will start more in the next year. So then you can look at market growth and then in those segments where you're bringing greener, more ESG driven technologies you can expect those segments to grow more. I think a good example of that is our bio-functional, segments that have been growing in the teens even in the last few years. So we want to make sure that we're fully positioned to capture that higher growth in those specific segments.
Chris Parkinson: That's very helpful. For the second question, it does appear that you've made very, very solid leap on the free cash flow per share front, during the quarter, which most one of the expected during the timeframe. Can you speak to your current and future conversion targets as a percent of EBITDA, we saw obviously the 50% of the PowerPoint and just how the three should be forecasting free cash flow growth over the intermediate to long-term. And Kevin, I just want to make sure I heard you correctly, did it sounds like the current estimate still includes $35 million of restructuring. Thank you.
Guillermo Novo: So let me make a quick comment and Kevin, I'll let you give more details, but obviously free cash flow conversion has been the priority for us. we've been talking about it a lot and I think you've seen the discipline, I think in last year and in this year, the self-help actions we're taking impacting EBITDA is clearly very critical for us. It's the base, the core cash generation and then changing our capital allocation perspective aligning everything to our strategy, we know where we want to invest in, which segments. Frankly, a lot of the improvements that we're doing are not just that we want to increase margin and reduce costs. We're looking at specific segments, businesses, production areas that are not giving the return or justify continued investment and taking the opportunity really to turn them around and we believe we can improve a lot of them and they'll be core parts of our long-term growth. If we can't, we'll exit them. So, both the self-help action and the capital discipline are critical for us. And then obviously then profitable growth will be the bigger driver longer term while we keep that discipline going forward. So getting our free cash flow above the 50% and we're really targeting higher over time to get it into the above 60, that's really the objective and the targets we have but Kevin, I'll pass it on to you if you want to give some better color.
Kevin Willis: Sure. I mean in the quarter, I really point to several things. I mean obviously EBITDA was well above prior year. So that was a major contributor. Working capital discipline was huge in the quarter. We ended the quarter with about the same inventory level that we ended the September quarter. We're up just a little bit maybe. To put that in perspective, if you look at 12/31/2020 versus 12/31/2019 inventory was about $100 million lower. So the discipline continued in the quarter. We also saw a nice contribution to free cash flow from accounts receivable. We talked about this a bit on the last call. We're really focused on working the accounts receivable side of the equation. Our collections are fine -- just fine . We're really working on the overall cash cycle and we're looking at all the components of the cash cycle and continuing to manage that. So, Yes, those were all good solid contributors during the quarter and obviously made a huge difference versus the prior year. The echo of Guillermo comments the 50% threshold is I would say the bare minimum that we're looking for and clearly, internally, we're looking to push that much higher than 50%. Yes, as we look at just at the full fiscal year, current expectation is around $35 million of cash restructuring costs. Yes, it could be plus or minus $3 or $4 million either direction perhaps depending on the timing of certain things. But generally speaking that's going to be a good number to use. And just as a reminder, $14 million of that did occur in the December quarter.
Chris Parkinson: Thank you very much.
Kevin Willis: Sure.
Operator: Your next question comes from the line of Mike Harrison with Seaport Global Securities.
Mike Harrison: Hi, good morning. Well, thank you. Guillermo looking at some of the new guidance puts and takes, it looks like you increased the net cost self-help action number by about $5 million at the midpoint. You increased the sales number by a percentage point, but now we have this issue in Belgium. So I guess given those puts and takes, was your intention to increase the full-year guidance by kind of a $10 million type of EBITDA number, is it more like $5 million, maybe just talk about some of puts and takes.
Guillermo Novo: I think, Mike, your math is the right one, two positives increased revenue, you can calculate the normal gross profit and EBITDA margin and the increased self-help. I think the absorption would have been higher. I think it's already impacted, actually we could had a higher, a better quarter even in Q1 but that has been an impact. It's behind us. So it will be more of a part Q1, part Q2 impact, but I did want to make sure on the last call, there was a lot of focus on absorption and the volume impact. It is there, I think for 2022 it will roll over, but there will be an impact in the high. I would say probably another high-single digits in that the strike impact will have on offsetting that improved absorption. But it is there and it will flow into next year if we don't have obviously this offset that we had this year.
Mike Harrison: And then, in terms of the raw material picture, you recently announced a cellulosics price increase. Maybe talk a little bit about how you are expecting raw materials versus pricing play out on both the cellulosic and the acetylenic side of the business.
Guillermo Novo: Right. I think on the additive side where the raw materials are an issue, we're managing it. We're moving to pricing that we see in other areas, in freight and so it's not just raw materials, just this activities given the tightness of some of the markets and we're managing through that. I don't think that is going to be the biggest headwind for us, I think we're seeing a little bit more of the changes going on in the market, is more of the pet chem drive raw materials and that's more for adhesive business, that's not a new thing. We've written through those changes over the years and the team is very well positioned but propylene based chemistries, acrylic, polyurethane are the big ones that we use, we are seeing some changes. And the issue that we have there is more timing of some of these things and how they will proceed because part of it is demand, the supply has been impacted across the chain as the demand has increased across multiple markets, it's gotten tighter, prices are going up, but you'll see some more capacity going on. So, I think over the next few months and quarters, we'll just see a little bit of volatility there. And our team will manage through that. That's the biggest area on the raw materials side.
Mike Harrison: All right. And just quickly maybe a question for Kevin. What's the capital project that you guys took an impairment charge on during the quarter.
Kevin Willis: It was HEC related. We had done some work, two, three years ago and was kind of ongoing is primarily engineering related activities around the big HEC project and we've really just got another direction with our HEC strategy and rather than keep all that on the shelf at the value that it was, we decided to go ahead and write that off. The work is still valid and could potentially be valuable in the future, but just using conservative accounting principles, we felt it was the right thing to do, just to go ahead and write that off, so.
Mike Harrison: Understood. All right, thanks very much.
Kevin Willis: Sure.
Operator: Your next question comes from the line of David Begleiter with Deutsche Bank.
Katherine Griffin: Hi, thanks for taking the question. This is Katherine Griffin on for David. So first just on the exiting the lower margin businesses. Thanks for quantifying the impact in fiscal Q1, but just wondering how we should think about that impact going forward and maybe just how that plays into your expectation for 3% to 5% sales growth. Is that kind of the right run rate or just how should you be thinking about that going to next quarter and then for the full year.
Guillermo Novo: Yes, the 3% to 5% includes already factors in the exit of that business, so that's already baked in. We'll be managing the exit on some of that part of the lower margin business through this year and probably into next year. By the end of next year, we'll be out of it, we're managing through it. Obviously, exiting the least profitable businesses, we have contracts. So it's just the process by which we're going to manage it through. But I think the bigger message is, look, we're focused on the strategic segments. This is not just about selling anything. We want to sell the right materials and that is the areas that we see sustainable differentiation, ESG differentiation where we think we can get better returns and continue to invest in our future. And that's really the priority areas for us.
Katherine Griffin: Okay, great. And then, just curious if you could talk about the flow through of the temporary cost savings from 2020. Just how those flow through in the second half and then how that relates to your expectation for the cash flow.
Guillermo Novo: So, the value that we are going to get we've identified. I mean the most of the first phase, the SARD phase is done. We have a few , I'll let maybe Kevin comment a little bit on the timing of some of those, but it's just related to activities that we've communicated. People know what's going to happen. It's just an issue of timing because we are finishing off work and specific areas, so that's pretty well defined. On the COGS side, we're doing the same thing. Obviously, we need to work through that, different regions we are moving at different paces and we're engaging people explaining what we're doing, I mean, obviously we had a strike in Belgium and that's part of the changes that we're doing. I think the part that we're working with everybody is making clear just like we're doing with our investors, we're doing with our employees, with our customers, we've been very transparent on, this is our strategy. This is what we need to do for our future. explain the changes, so that everybody understands them and I think even as we saw with the DOL situation, there were questions on cost reductions and things like that. I think we've been very clear of, we need to do this or some of these operations are not sustainable in the long term. I think everybody realizes that and we're back to operations, but it's a process and it's purely the timing of going through that. But Kevin, do you want to comment a little bit more on the timing side of things.
Kevin Willis: Sure, sure. I mean, on the, I would say on the SARD piece, we are right on target, right on schedule in terms of our initial plans where the vast majority of the way through that. We have some specific areas that we'll be closing out as certain other things wind down within the business. That'll happen this fiscal year. I would say on the COGS side, we're ahead of schedule, which is part of why we are increasing the midpoint of our range for and help them set for the full year and team has done a really nice job with that and continues to execute well and I'm confident we're going to do fine there. I think part of your question was around, call it cost savings or maybe cost avoidance that are pandemic related. It's an interesting question and it's something we've been talking about a fair bit internally and I think part of what it comes down to is I think a lot of the, a lot of companies were initially thinking, when the pandemic is over and we're back to normal whatever that means then everybody is going to travel again and our bodies are going to reset back to normal 2019 levels, etcetera. We don't think that's the case and we're thinking about that and talking about that very actively internally and I think a lot of that is going to be pretty permanent. So I mean will there be resets. Yes, of course, I mean there will be more travel because there are basically none right now. But I don't think we're going to see 2019 levels maybe ever again. And so I think chunk of that is going to remain permanent in the P&L just like we and many other companies are thinking about those sorts of things differently than perhaps we were at the beginning of the pandemic, partly because it's been such an extended period and looks like it's going to continue to be for a while. So I just wanted to put the part out there for you.
Katherine Griffin: Great, thank you so much.
Operator: Your next question comes from the line of John McNulty with BMO Capital Markets.
John McNulty: Yes, thanks for taking my question. So I guess, I know you're not putting out a lot in terms of financials on the acquired business. But I guess, could you give us at least some thoughts on what the growth of that business has been, say over the last three years or so, just so we can get maybe a better understanding of how to think about it.
Guillermo Novo: All right. So no, we've been having solid growth in the mid-single digits, make the high single digits over 5%. So they've really got a good traction around some of these newer preservatives that the Personal Care industry is valuing more. So, I think when we say it's accretive, it's accretive to growth, it's accretive to the margins, it's accretive to our strategy, ESG. So a lot of the positives. This is a really nice fit for us.
John McNulty: Got it. Fair enough. And that definitely helps. And then I guess just when we think about the seasonality and sequencing of the margins, normally your first quarter is noticeably lighter than everything else. And then you get whatever another 300 to 400 basis points as you kind of go throughout the year. It sounds like that's largely on track other than maybe 2Q, just given the strike. But is that the right way to think about it or is the strong numbers that you put up this quarter or there may be a little bit of an unusual blip if you will.
Guillermo Novo: So let me give some comments and Kevin, I'll ask you to also comment here, but if you look at the revenue side, I mean longer term the seasonality is rare, just vacations for is Sun Care businesses or coatings, those are well established seasonality. We have seen less seasonality right now and I think there is just pent up projects and things that have moved a little bit more. So on the revenue side, I think it's probably been a little bit stronger than normal. So we'll see what happens next year but clearly it's been a very positive thing especially on the industrial side of the equation. If you look at an EBITDA side, the impact, I mean the important part to recognize is self-help has been the major driver for us and that is not seasonal. So the cost actions, the mix improvement actions, all these things are coming now because we've taken the action. So that, I think the earning side of things, you're not going to see the seasonality. We will get it as we get it and I think the revenue side is the one that is more of the seasonal impact, but it has been less. But Kevin, I don't know if you could provide any other color.
Kevin Willis: No. I completely agree with your commentary, I mean, we're looking at a 400 basis in terms of sales, take out from a cost perspective and granted there is some resets that come with that, but it's a real step change in the overall EBITDA margin profile of the business and again that's a permanent change and I think on top of that the work that we're doing around mix improvement is definitely starting to show through and it's by no means just about exiting lower margin and in the lower margin product lines that certainly helps, but it's really a focus across the portfolio to grow those parts of our business. That do improve our mix and do improve our profitability and in many cases are more sustainable in the long term and we're seeing that and my expectation is that we're going to continue to see margin improvement as we continue to execute on self-help and as we continue to focus on these higher margin parts of all of our business units.
John McNulty: Thanks very much for the color.
Kevin Willis: Sure.
Operator: Your next question comes from the line of Edlain Rodriguez with Jefferies.
Edlain Rodriguez: Thank you, good morning guys. Quick question on Personal Care. I mean some of the issues you've been having with the businesses that have been impacted by COVID, like what are you doing or what can you do to mitigate that waves, like how you're managing that softness in the business.
Guillermo Novo: Yes, no, I think there's two things. I mean, the things we control and the things we don't control. So core demand has been softer. So there is not much we can do that until people start going out. They have been ignoring going to salons, their social activities have changed and obviously the Personal Care and Grooming has a lot to do with people's activities. So the issue is using the time on the things we can control. And what is that, strengthening our position in the areas that we are seeing strong growth. I think in 2020, we saw that with hand sanitizers area as an offset. Launching new products in the bio-functional areas, there's been other areas, repositioning a lot of our new offerings more and more environmentally friendly. We have a lot of new formulations for a variety of applications including hand sanitizers but it goes into other areas where avoiding microplastics, use of microplastics, we have a lot of formulation and additives in the rheology space, for example, that can give solutions for our customers. So it's about positioning that ESG driven side of the equation and that can drive growth both in the non-impacted areas as we're seeing with bio-functionals and skin but also as we introduce more ESG driven alternatives to our customers. Even in the segments that have been impacted, you can achieve higher growth rates if you come with these products and technologies that can differentiate you. So a segment can grow at 2%, but you can have a product line that grows at 14%, 15%, 20% as we saw with bio-functionals and skin that you can get that growth. So that's part of the strategy and I think the mix focus that Kevin was talking about it's making sure that we're taking action on those areas. With new technology, it takes a little bit more time. So, we want to use this time that we're getting some of the tailwinds of our self-help actions to position ourselves, so as that part of the work levels off, we can kick in with the growth of new products and innovation. I think the M&A will be another area that will help us in that space.
Edlain Rodriguez: Okay. And that's great. And one quick one in terms of, yes, you've started to exit some of the lower margin product lines, which is great. So, when you look at the current portfolio as it is right now, like are there more business lines where you think that might be candidates for exit even if you don't have names, but just to see.
Guillermo Novo: You know, I think our self-help actions, as I said, this is not just about squeezing and trying to get cost out. We are being very purposeful on where we're going and I think especially if you look at some of the cost actions that we're taking in the COGS side, we're going plant by plant, production unit by production units. We do have some units that are not giving the right returns. Frankly, some have lower margins than the businesses that we're exiting now. The difference is that we see that we can take actions and improve those businesses, not just on cost but process technology changes, growth that we can increase loading. So there are things we can do so. We're identifying those lower margin segments. The issue is if we really feel we can't fix, we'll exit it, but if we feel we can fix it, that's our first approach is to try to take action. And if we can, then we'll follow up with other actions. And I think, the situation in our Belgium plant was a clear example. We had some significant production units, we said look we're not going to invest in if we can't turn them around. I think we were very transparent about it, everybody realized that that was really the driver and we're grateful that all the team there recognized it and they're working with us in getting that whole business not just back in production but let's get it to a place that not only has a nice return, but that we can invest and drive growth. I mean at the end of the day we like some of these businesses and I can say just from my past experience in the last company I was in, we exited plants. And then two years later we reinvested because we reinvested with different technology, a different approach that made it sustainable and more profitable and I think that's the work that we're doing. And that's a core part of the self-help. So it's an important message that self-help is not just about cost cutting, it's about adopting our company to the business model that we have, business led not all businesses are the same. So it's not one size fits all, everybody has a different value proposition. It's about rightsizing ourselves to a smaller company. We are now a pure-play $2.5 billion specialty materials company. So we have to have a structure for that, not carry forward a structure for a $5, $6 billion dollar company. And then on specific businesses, make sure that we're doing the turnaround and that we're being purposeful because ultimately what we want is profitable growth.
Edlain Rodriguez: That makes sense. Thank you very much.
Operator: Your next question comes from the line of Mike Sison with Wells Fargo. Mike. Your line is open.
Mike Sison: Sorry, guys. Just one question on the Shulke & Mayr acquisition, Guillermo. What's the annualized sales run rate for that business that'll contribute and then what are the overlapping sales synergies between your business and their business longer term.
Guillermo Novo: Yes. So Mike, thanks for the question. Like you said, we're not giving specifics of the business itself, but I would say is the combined business, the majority of which will be the Shulke & Mayr part of it, will be and it will be probably our largest segment in Personal Care over let's say $125 million to $140 million, just to give you a range, very profitable in line with what our longer-term expectations are. We're selling to the same customers, same areas. So we see opportunities for synergies on the manufacturing side, so that we can leverage lot of our production. People, their talent is very important to us, so we want to make sure not only that we're keeping them but they become a core part driving the business forward. They have a lot of experience with the faster growing, more advanced, more ESG aligned product offerings that we're interested in. So on that side, we're not looking for significant synergies there. And I think there's going to be a lot of growth synergies. And globally, the synergies that we have is we have a much bigger global footprint, we have labs in much more regions. This is a much smaller company, not just the Personal Care preservative business but overall. So this really can give us a lot of more momentum and it's really a plug and play for us. And in this case, we're going to plug in some parts of our business into their areas. But then bring in, allow them to leverage our overall infrastructure and capabilities to drive growth.
Mike Sison: Got it. Thank you.
Operator: At this time there are no further questions. I would like to turn the call back over to Guillermo Novo for closing remarks.
Guillermo Novo: Thanks, Phyllis. Well, I just wanted to say thank you to everybody for your interest. As I hope you're seeing, we're very excited about not just the performance that we've had, but more about the outlook. There is light at the end of the tunnel in terms of post COVID and it seems to be improving and we're seeing that. There are some segments that maybe will take a little bit longer, but it's an issue of timing. It's about when not if these improvements will come. And I think in the meantime, we're taking actions on the things we control and we're very happy with the progress we're making. And I think it's going to really position us well, not just for the rest of 2021 but even as we look at 2022 and beyond, it'll be a very exciting time for all of us. So, thank you for your interest. And look forward to talking to you in the near future. So, thanks everyone. Bye.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.